Operator: Hello, and welcome to Glenveagh Interim Results 2025. My name is Laura, and I will be your coordinator for today's event. Please note this call is being recorded. [Operator Instructions] I will now hand you over to your host, Stephen Garvey, CEO, to begin today's conference. Thank you.
Stephen Garvey: Good morning, and thank you, Laura. I am Stephen Garvey, CEO of Glenveagh. I'm joined today by our CFO, Conor Murtagh. We appreciate you joining our interim results call for the first 6 months ended the 30th of June 2025. This morning, I'll walk you through the key highlights, the market, the policy context and how our strategy is showing up in Homebuilding, Partnerships, land and innovation. Conor will take you through the financials and capital allocation, and I will return to the outlook and closing remarks. As always, we will leave plenty of time for your questions at the end. Let's begin on Slide 4, which sets out our headline numbers for the first half of the year. This period demonstrated the strength of our Building Better strategy, set out scale delivery, deepened our partnerships with the state and drove operational efficiency through innovation, and that's exactly what's reflected in our results. Our focus on standardization and vertical integration is now embedded across the business, making us more resilient and more efficient as we grow. The benefits of our early investment and innovation are visible in our margin profile and our ability to deliver at scale even as the market evolves. This is also the first interim period where our Partnerships segment has made a material contribution to group profit. This is a real milestone for us and reflects the strength of our public-private model. We are now recognized as a partner of choice for the state with a growing pipeline and strong demand for our homes. We continue to manage our capital with discipline, optimizing our landbank and maintaining a strong balance sheet even as we accelerated delivery. Our buyback program continues to create value for shareholders, and we are seeing the benefits of a more efficient, more focused approach to capital deployment. We will discuss these elements in greater detail as we progress this morning. For now, I want to emphasize that the strategy we set out a few years ago is delivering for our customers, our partners and our shareholders. Turning to Slide 5. Let's take a moment here to consider what sets Glenveagh apart in the current environment. The need for new homes in Ireland remains acute, and government policy is more focused than ever on increasing supply. This is happening against the backdrop of continued economic strength and a supportive policy environment, so the market opportunity is clear. What gives us confidence is the way we have positioned the business to capture the opportunity. We've built a sector-leading platform, one that's not just about scale, but about delivering high-quality homes in the right locations, supported by a uniquely integrated operating model. Our early investment in innovation and standardization is now delivering tangible benefits, making our business more resilient and more efficient as we grow. We are seeing the benefits of our deepening partnerships with the state and hard-won reputation as a partner of choice for public housing delivery. This is supported by a disciplined approach to capital allocation and a strong balance sheet. Our focus on profitable growth, active landbank management and ongoing investment in our supply chain is enabling us to create long-term value for the business and drive sustainable returns for our shareholders. Providing further context, Slide 6 shows just the long-term demand outlook for housing in Ireland remains exceptionally strong. We continue to see positive trends in income and employment with both wages and job creation rising steadily across the economy. Alongside this, Ireland's population growth remains robust, driven by sustained net inward migration well above the European average. Mortgage lending activity is also maintaining a healthy pace with first-time buyers accounting for a significant share of drawdowns supported by government schemes. The underlying drivers of demand for new homes are strengthening. Turning to Slide 7. We can see in more detail how government policy and recent market initiatives are creating a genuine supportive environment for housing delivery. The National Development Plan and the Planning and Development Act 2024 are setting ambitious targets and providing significant funding alongside the infrastructure and planning certainty needed to achieve them. On the demand side, supports such as Help to Buy and the First Home Scheme continue to underpin affordability for buyers. They both have been extended, giving buyers and developers greater confidence to plan ahead. There's also a strong policy push for modern methods of construction and using state land at scale through the Land Development Agency and local authorities. But as we've said before, meeting Ireland's housing needs will require more than just policy ambition. It will take sustained private sector capital, adequately zoned land, public sector resources and critical infrastructure. The success of our Partnerships platform shows how public and private resources can be pooled effectively to deliver much needed homes. We've shaped our strategy around this shift, and we are beginning to see material results, which we will talk about shortly. In the short term, the policy environment is evolving for the better, and that gives us real confidence in our ability to continue delivering at scale. Now let's dive deeper into our segments, starting with Homebuilding on Slide 8. Just a quick reminder that at the start of the year, we announced with the 2024 results that we have simplified our reporting on Homebuilding previously Suburban and Partnerships, previously Urban and Partnerships. This was a standout period for homebuilding with delivery nearly doubling year-on-year. The momentum reflects the strong demand and the benefits of our differential model and strategy. Standardization, scalable sites, vertical integration are all coming through in our results. Excellence in our execution saw major completions at Kilmartin Grove and Hereford Park as well as major progress across a number of developments and a number of new sites starting earlier in the year. Our average selling price was elevated in the first half due to mix, but we expect that to normalize as the year progresses. Margin expansion in Homebuilding was driven by the choices we made to invest efficiently and repeatably with the forward order book at around EUR 1.4 billion, we have strong visibility for the rest of the year and well into 2026. Turning to Slide 9. Let's talk about Partnerships. For the first time, this segment made a material profit contribution, reflecting the scale and momentum in this part of the business. We now have 6 active sites underway, including new contributions from Mooretown, New Road, the Cork Docklands, which is a development in collaboration with the Land Development Agency, alongside Ballymastone, Oscar Traynor Road and Foxwood Barns. This growing pipeline underpinned by robust planning momentum and repeated demand from public sector clients gives us strong visibility on future delivery. Moving to Slide 10. We can see how our land portfolio remains a source of strength and flexibility. The portfolio has been carefully assembled to align with our strategy. It is focused on supporting high-quality own-door homes in right locations with 74% of our units in the Greater Dublin area. We continue to maintain a strong cost discipline with the average plot cost at EUR 32,000, and the landbank supports an attractive embedded margins and capital returns. Importantly, this landbank gives us capacity to deliver between 2,600 and 3,600 equivalent units per year through to 2030, underpinning our medium-term delivery objectives. We have also been actively managing the portfolio with over EUR 60 million of land sales either closed or at advanced stages, ensuring we remain flexible and capital efficient as the market evolves. Finally, just to note, the recent publication of the National Planning Framework is expected to materially positively impact our strategic landbank, resulting in a lower capital deployment requirement in future land periods. Turning to Slide 11. Our commitment to innovation remains a core pillar to our strategy. We continue to invest significantly in this area. Phase 2 of our innovation program is now underway via a EUR 25 million commitment to expand our off-site facility -- manufacturing facilities in Carlow, including an additional facade line alongside our timber frame platform. At the heart of this is NUA, our in-house manufacturing and innovation platform. Through NUA, we are moving beyond traditional building methods and embracing innovative lightweight alternatives, such as a new wall system, roof cladding and floor cassettes. Our exclusive perpetual license for integrated external facades is now a key part of this, allowing us to increase premanufactured value and improve further efficiencies. Off-site manufacturing and modern methods of construction are already delivering tangible improvements in cost control, build efficiency and margin performance, all of which makes Glenveagh more resilient, more efficient and better positioned to deliver at scale as the market evolves. With that context, I'll hand you over to Conor to talk you through the financials and the capital allocation.
Conor Murtagh: Thanks, Stephen, and good morning, everyone. I'll take you through the financials for the first half of 2025, starting with the income statement, then moving to the balance sheet, land and cash flow and finally, our capital allocation priorities. As always, we'll outline the key drivers behind the numbers and what they mean for the business. If we can turn to Slide 13. As Stephen noted, the first half of 2025 marked a period of strong growth for Glenveagh. Group revenue reached EUR 342 million, up 124% on last year. This uplift reflects the momentum we've built in both Homebuilding and Partnerships with delivery volumes and on-site partnership activity, both moving in our favor. Gross profit increased to approximately EUR 67 million, and our gross margin expanded to 19.5%, up 130 basis points. This margin improvement is as a result of several years of investment in standardization, scale and vertical integration in addition to mix benefits. Work in progress rose to approximately EUR 347 million, which is in line with our plans to ramp up Homebuilding output and deliver under the Croí Cónaithe scheme. Net assets finished the first half at EUR 748 million and reflects approximately EUR 35 million of capital returns in the period. Altogether, it shows we're supporting growth in a disciplined way, optimizing working capital, managing our landbank and maintaining a strong balance sheet. Moving to the landbank slide then. Apologies, continuing on the income statement there, we're seeing the benefits of delivering more homes and large repeatable sites and our off-site manufacturing is now contributing to program certainty, quality and cost control. A feature of both business segments in 2025 is the completion of sites and phases with cost contingencies unutilized supporting margin expansion. Underlying gross margin in the Homebuilding segment, excluding noncore sales at Shrewsbury Road and land sales was 22.8% Nevertheless, spot homebuilding margins in the group's medium-term delivery pipeline are approximately 21%, with site mix continuing to be a principal driver as the business monetizes its vintage landbank and scales to 2,000 units with a focus on return on capital. Gross margin in Partnerships in H1 was 16.2%, ahead of target owing to site mix and unutilized contingency due to strong cost control. Similar to Homebuilding, site mix will play a significant role in future periods as the business scales up and the group completes the transition out of its remaining urban sites. EUR 400 million in revenues remains an achievable current year and medium-term target with visibility on replacing existing partnership sites with new wins increasing over the period. Operating profit for the first half was EUR 42.1 million, Net finance costs were EUR 9.6 million, reflecting a higher opening debt level following last year's land acquisitions. Profit before tax was EUR 32.5 million and earnings per share came in at EUR 0.052. Moving to the balance sheet on Slide 14. Focusing in on the key numbers here. Land balance, excluding development rights, was EUR 536 million, down from year-end as we continue to actively manage the landbank and focus on capital efficiency. I'll come back to land on the next slide. Work in progress rose to EUR 347 million, which is in line with our plans to ramp up homebuilding and deliver under the Croí Cónaithe scheme. Altogether, it shows we're supporting growth in a disciplined way, optimizing working capital, managing our landbank and maintaining a strong balance sheet. Moving to Slide 15. I touched on it briefly, and you can see how our landbank is evolving and supporting our growth agenda. The EUR 536 million land balance at June 2025 represents a peak investment level for us. From here, we're focused on reducing capital intensity, delivering units from our existing landbank and executing targeted disposals. We remain on track to complete land sales of EUR 100 million across 2025 and 2026. More than EUR 60 million of that is already closed or at advanced stages of contract. This strategy is about prioritizing capital employed in land and focusing on sites of scale that can support delivery in both Homebuilding and Partnerships. Given the strength of the landbank, both in terms of scale and product type, i.e., own-door homes, we can both grow the business and reduce capital deployed in land towards EUR 400 million to EUR 450 million over the next number of years. Next, Slide 16 shows our cash flow. Operating cash outflow was EUR 10.8 million, a material improvement from the EUR 194 million outflow in H1 last year. That is driven by higher completions, greater contribution from Partnerships and tighter working capital management. Importantly, net debt was EUR 230 million, a lower figure than this time last year despite a materially higher starting position. Moving forward, we continue to invest selectively where returns are strongest, principally funding construction WIP, investing in innovation and returning surplus capital to shareholders, which brings me to Slide 17, where we have our capital allocation priorities. Our medium-term visibility is as strong as it has been. We have clear line of sight on unit growth combined with landbank reduction on replenishing the Partnership's pipeline on freeing up capital, while capturing manufacturing benefits that will provide a structural medium-term cost advantage. Against that backdrop, we continue to focus on 4 key priorities: firstly, land. We're actively reducing our landbank, as I set out, primarily through unit delivery and targeted unit sales. But importantly, we will sustain, as Stephen mentioned, the capacity to deliver 2,600 to 3,600 units per annum. Secondly, work in progress. Investment here is supporting the planned increase in Homebuilding outputs to 1,900 units in 2027, which remains a core driver of revenue growth. Third, supply chain and innovation. We're investing in off-site manufacturing and next-generation building approaches. That includes a EUR 25 million commitment to deliver a new external facade line and facility upgrade, which will transform how we deliver homes. Approximately EUR 10 million of spend will occur in 2025, EUR 10 million in '26 with the balance in 2027. And finally, returning excess cash. The buyback program announced in May has been expanded from EUR 85 million to EUR 105 million. That's been made possible by strong operational performance, robust cash generation and good visibility on land sales. To date, approximately EUR 84 million has been deployed under the current program. This disciplined balanced approach is supporting growth, innovation and value creation while also maintaining a strong financial position. That's the conclusion of the financial review. Stephen, I'll hand back to you for the outlook and to close out.
Stephen Garvey: Thanks, Conor. So to bring it all together on Slide 18, we remain fully on track to deliver full year guidance. We are reiterating our earnings per share target of EUR 0.195 for full year 2025, underpinned by a strong operational momentum and a healthy forward order book. We expect to deliver approximately 1,500 Homebuilding units this year with Partnerships contributing around EUR 400 million in revenue. This reflects the scale and the consistency we are now achieving across both segments. On the capital side, we are making real progress in optimizing our land portfolio with EUR 100 million of land sales targeted across '25 and '26. And our landbank remains a core strength, giving us the capacity to deliver between 2,600 and 3,600 units per year all the way to 2030. Notably, we are achieving this growth while reducing the net debt and returning value to shareholders by expanding our buyback program to EUR 105 million today. To wrap things up on Slide 19 and 20, we have our differential investment case. We will conclude -- I want to conclude by emphasizing 3 things: building better strategy set out the direction, and we are executing on it with consistency. Standardization and manufacturing are improving our cost control and speed with benefits already visible in margin and program predictability. Partnerships are now a material first half contributor and our land strategy balances visibility with capital efficiency. We have strong momentum into the second half and beyond. Glenveagh is uniquely positioned with strong visibility on future delivery for the balance of this year and beyond. All of this gives us real confidence for Glenveagh's ability to deliver sustainable value well into the future. With that, I'll pass you over to Laura for any questions you may have, and thank you.
Operator: [Operator Instructions] We will now take our first question from Colin Sheridan of Davy.
Colin Sheridan: Just maybe starting on Partnerships. Maybe you could talk a little bit about what the pipeline looks at this point in time. And I guess, with the changes we're likely to see from government with additional funding and a change to housing for all, how you think that could evolve or how you'd like to see it evolve in the next year or so? And maybe just on build cost inflation. I mean, you've referred to the sectoral employment orders in the statement. Just wondering how build cost inflation has been progressing more generally and how the vertical integration in the business has been playing its part and trying to mitigate that on site.
Stephen Garvey: Thanks, Colin. Partnerships, yes, obviously made substantial progress. I suppose it's a hard one reputation. We've been at this for a period of time, and we're only really seeing the benefits of that flow through on the income statement now. Positively disposed to what we're seeing coming down the track. We're in negotiations on a number of new partnerships, quite substantial ones, some of them adjacent sites, some future sites that are very close to us. Proactive local authorities out there now looking at opportunities and very much looking at certain local authorities who have probably perfected the model and got it really well coming out there to a certain degree. The Land Development Agency, obviously, very proactive now as well. A lot of their land is starting to come into the system. They're running a number of RFPs. So yes, we've obviously got 6 sites on the go. Some of them will come to completion next year, but we're very positively disposed to being able to replace them on an ongoing basis. And I think we've proven we're the delivery partner of choice out there with all government agencies at this stage. So happy to dispose that. Build cost inflation, yes, you're right. On the sectoral employment agreement was 3%. Labor probably makes up 50%, 55% of the delivery out there. So that will inevitably pass through. On the material side, pretty good, a little volatility in 1 or 2 products, but again, in the either, it's probably not too bad out there. So probably happy where things are at. So somewhere between 2.5% and 3% is probably where we see things plateauing out for the next 12 months. We don't see anything on the horizon that makes us concerned out there. On the manufacturing side, I think what you're really seeing from the manufacturing and innovative side is it's probably really driving that way we can deliver programs, being able to release contingency on sites. They're obviously positive to margins. So it's the capability of predictability, sticking with programs, the quality of the product, all of those things are coming. We're probably now moving to Phase 2 of the innovation side. The benefits of that and the cost that, that will bring to the table and the -- or the cost savings, it's too early to predict yet. But Phase 2, 2027, 2028, we really hope it will feed into the system, and we should see positive turn from that.
Conor Murtagh: I think what you see in manufacturing over the next number of years is will be labor and labor increases as we're seeing through sectoral employment orders will be less of a dial mover in that CPI number as we transition more and more to premanufactured value.
Operator: And we'll now take our next question from Shane Carberry of Goodbody.
Shane Carberry: Just kind of a follow-up on Colin's question, I guess, in terms of that kind of gross margin point. In terms of the standardization piece of the jigsaw, is it fair to think of that as the main contributor to the kind of underlying growth in the gross margin this year? And just, Conor, you mentioned in the presentation about maybe the mix going forward into '26. So if you could expand on that a little bit more, it would be helpful. And then the second question is just around the medium-term targets really, it sounds like even more confident in the medium term kind of maybe beyond all of our forecast horizons as well. So if you could just give me a little bit more color in terms of how that kind of your confidence has evolved? Is it more the policy side improving, underlying demand getting better? Or it is some of the kind of innovation that you're doing or maybe it's a bit of all of the above.
Stephen Garvey: Just -- go ahead. Go ahead.
Conor Murtagh: On the gross margin side then, yes, you're right. Standardization is a lot of the benefit. It's also sites of scale. It's also strong cost control, getting to the end of sites and having contingency in place. And you're seeing that particularly on the Partnerships side as well. And then mix, there's a good strong mix effect this year, which brings us to your sort of follow-up question around gross margin for next year. We've spoken since the start of this year about intake margins being around approximately 21% in the medium-term landbank. And what you're going to see is that transition happening in 2026. So you'll see margins of approximately 21% in 2026 is the way to think about it.
Stephen Garvey: And just on the policy and medium to long term, positive what we said 2027, we feel very comfortable about the 1,900 units in Homebuilding. We're positive towards the National Planning Framework. I suppose for our view, just where the policy is evolving is, you know the government have instructed the National Planning Framework and instructed local authorities to now go out and start varying their development plans. So an element of local authorities will vary their plans, but they'll also start going into their new plan phase. And we see kind of 2027 into 2028 as the period of time that about 750,000 units of zoned land will come into the system. Some of that will be our strategic land as well. So I suppose that's the opportunity we're seeing coming down the track. Obviously, there will be sites of scale. So yes, positive in the sense of, I suppose, you have a government who are really now on the front foot to drive their policy initiatives. They're probably seeing some challenges with the administration side, not moving as fast as they'd like. But I think, yes, they're really trying to make a difference out there. I think we're well set up that our landbank positions ourselves to 2030. We're obviously core product, 80% of our product is that own-door product, so in a nice place there. But obviously, we hope we can enhance that. And the more the vertical integration feeds into the system, the bigger the sites become, the faster, more efficient we can deliver into the future. So yes, we're in a good place.
Operator: We will now take our next question from Jonny Coubrough of Deutsche Bank.
Jonathan William Coubrough: Can I ask on the landbank? You said in the presentation that the landbank could support up to 3,600 units a year out to 2030. What other investments would you need to make to achieve this level of output across WIP, supply chain overheads? I think you set out some of this on Slide 17, but it would be useful just for a bit of clarification on that one. And then also, you've mentioned EUR 100 million of land site sales over 2 years. So from there, will you be maintaining about a EUR 450 million landbank? And then how would you be looking to replenish that land? Are you looking at land options or other avenues?
Stephen Garvey: Jonny, yes. So look, obviously, last year was the big pivotal year. We bought 9,000 plots of land. There was a 3-year supply in 1 hit. Obviously, we got them at attractive 32,000 a plot. So we're very happy with that. We're not actively in the land market. We're always keeping an eye on it, but we're not actively investing. Probably strategic land is where we're looking at an element of because we know what will come down the track. So product that might come into the system in '29, '30, we're looking at those kind of sites. But we're not making a very big investment on that. On the WIP side of it, I'll leave that. Conor, do you want to go on that?
Conor Murtagh: Yes. The WIP is actually well invested. So we've obviously grow Homebuilding units from 1,500 to 1,900 over the next couple of years. But at the same time, we have a number of urban schemes where we're well invested on the apartment side, which we'd be seeking to forward fund in the future. So one in North County, Dublin and another one in Cork. So you could see maybe EUR 50 million go into WIP on a net basis there between now and 2027 to support growth into 2028. And we obviously have called out the office as a cash inflow, most likely in or around 2028. So WIP is well invested even to support that growth that's there. And then on the Partnerships side, obviously, there's a prevalence of forward funding in that. So the investment there will be minimum from where we are at the moment. And then manufacturing-wise, it's the EUR 25 million, with EUR 10 million over the balance of this year, EUR 10 million next year and EUR 5 million in '27.
Operator: [Operator Instructions] And while we wait, I'm handing it over for the written question.
Unknown Executive: So we've had a question in from Glynis Johnson. She has asked regarding the admin costs for H1 '25. What drove step-up? And what is the guidance for FY '25 and medium term? Second, on land market, she's asked, given the competitive land market, but also the positive upside potential to your strategic land, is there scope to increase the land sales targeted? And lastly, can you elaborate on the facade production? Is this the Mauer system? And how many home units would this likely cover by 2027?
Conor Murtagh: I'll take 1 and 2 there. On admin costs, H1 reflects the run rate from H2 2024. So consensus is around EUR 51 million of administration costs for 2025. So we're comfortable with where that is. And over the medium term, we've said we want to reduce admin costs to less than 5% of revenue and are on track to do that. The land market and potential for more land sales. And what we'd say on that is we have greater certainty on the EUR 100 million of land sales than we had a number of months ago. However, the likelihood of it being materially in excess of EUR 100 million has reduced. So EUR 100 million is a good number to have across '25 and '26. And Stephen, do you want to take the Mauer system?
Stephen Garvey: Yes, you're right on that, Glynis. Obviously, we're the sole holder of that license in Ireland, and we think it's a huge opportunity for us. The potential savings and how this can evolve is it will make huge benefits for our prelims on site. It's a better, more attractive looking product. We've had some of the local authorities out down to look at the finished product. They're really impressed with it. So they're actually -- the quality of it and the aesthetics of it, it's really pleasing. We are putting it into production in '26. First homes are going out in 2027. And we're going to take it on a phased basis. So probably 10% of the portfolio will start with, but the ambition is to get it right across the portfolio by a period of time. Like we've done with all other innovation and manufacturing, we've taken a step basis to us. But I suppose the real benefit is if we see success, we can start factoring that into us as we acquire new lands and right across the portfolio. So hopefully, we'll see the positive turn from that into 2027.
Operator: There are no further questions in queue and audio. And I will now hand it back to Stephen for closing remarks.
Stephen Garvey: Thank you, Laura, and thank you all for joining today. We really appreciate it. Obviously, we'll be engaged with a number of you over the next number of days and weeks and look forward to seeing you. And thank you very much for joining us today.
Operator: Thank you. That concludes today's call. Thank you for your participation. You may now disconnect.